Operator: Good day, and welcome to the KVH Industries Q1 2017 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Don Reilly, Chief Financial Officer. Please go ahead, sir.
Don Reilly: Okay, thank you. Good morning everybody. Thanks for joining us today to discuss KVH Industries' first quarter results and our guidance for the 2017 second quarter and full year, all of which is included in the earnings release we published this morning. With me on this call is Martin Kits van Heyningen, the Company's Chief Executive Officer. The earnings release is available on our Web site and also from our Investor Relations department. If you would like to listen to a recording of today's call, you can access a webcast replay on our Web site. If you are listening via the web, feel free to submit questions to ir@kvh.com. This conference will contain certain forward-looking statements that are subject to many assumptions and uncertainties that may cause our actual results to differ materially from those expressed in these statements. We undertake no obligation to update or revise any forward-looking statements. We will also discuss certain non-GAAP financial measures, and you'll find definitions of these measures in our press release as well as reconciliations of these non-GAAP measures to comparable GAAP measures. We encourage you to review the cautionary statements made in our SEC filings, specifically those under the heading Risk Factors in our form 10-Question, filed on March 9th of this year, and the Company's SEC filings available directly from Investor Information section on our Web site. So, at this time, I would like to turn the call over to Martin. Martin?
Martin Kits van Heyningen: Thank you, Don. Good morning everyone, and thank you for joining us today. I'm pleased to report that our results for Q1 of 2017 were right in line with our guidance. First quarter revenues were $40.2 million, and our non-GAAP loss of $0.09 per share is consistent with our expectations. mini-VSAT Broadband Airtime was up 7% from last year. mini-VSAT Broadband Airtime margins were at a new high of 38%, and usage-based plans accounted for 59% of airtime revenues. Overall, services accounted for 63% of our total company revenue in the quarter, in keeping with the trend of moving from a product business to a more predictable services and recurring revenue model. And Don is going to cover the numbers in more detail shortly, but before he does that I'd like to recap some of the significant achievements and trends we saw in our two business units in Q1. As you may recall, our two business units are now called mobile connectivity and inertial navigation, terms we started using last quarter as a better reflection of their market focus and product coverage. Turning first to mobile connectivity, the commercial maritime world remains challenged and challenging, with shipping companies adjusting their business models in hopes of improvements in the economic climate. Against the backdrop of ongoing macroeconomic and market trends, our growth in both with revenues and margins in airtime is very encouraging. Commercial maritime customers are increasingly coming to appreciate the synergies between our offerings in satellite communications, e-learning, news and sports, entertainment, that contribute to the safer and more productive crew members. In a challenging economic environment the combination can improve business productivity, and keep business healthier until markets turn up. Now, in the leisure marine market we see continued improvement in the health of the market. Reports from numerous boat shows in Q1 indicate that increased buying interest and activity, boats are being purchased and upgraded. For us, the result is increase in our satellite TV, revenues in Q1, and continued demand for our VSAT products in leisure as well. Overall, despite the headwinds in the commercial maritime sector, we recently announced the shipment of our 7,000th VSAT terminal, and are continuing to outpace our competition. We're proud of the fact that or airtime revenue was up 7% over the comparable quarter in 2016, at a time when our major competitor just reported a drop in revenue of 3% in its maritime business for Q1. This is the strongest airtime growth that we've seen in recent quarters. In addition to the increase in airtime revenues and subscriber growth, we're also seeing an ongoing shift towards our usage-based airtime plans, which now account for 59% of plan population. Since those plans also deliver better margins, overall airtime margins were up two points from last year. And at 38%, 38% represent a new high in airtime gross margins for the quarter. From a customer perspective, our usage-based plans mean that we can provide our customers with fast and reliable service, remain price competitive, and not sacrifice profitability. To keep this momentum going and increase our rate of growth in mobile connectivity, we have two key strategic initiatives that we're investing in for 2017. The first is our move towards subscription-based hardware and in all-inclusive packages. The second is adding a whole new high speed satellite overlay network to our mini-VSAT Broadband service. Our subscription model, AgilePlans by KVH, was announced on April 12th. This first-of-its-kind connectivity as a service, or CaaS, offering helps address many of the economic uncertainties in commercial maritime that I spoke of earlier in the call. AgilePlans allows customers an all-inclusive package of capabilities with no long-term obligation. In the volatile world of shipping and offshore, vessels are constantly joining fleets being laid up, transport or sold [ph] and AgilePlans makes implementing those changes easy. Our competitive advantage with AgilePlans is a full compliment of hardware, airtime, e-learning, crew welfare, content, and value-added services that no other company in our industry has in its portfolio. We're leveraging all the unique facets of our products and services with this offer. And we believe this will be extremely difficult for others to copy. The market reaction to AgilePlans has been extremely encouraging. Customers and prospects have expressed early interest in our connectivity as a service offering, and we're tracking a large number of opportunities already. Many observers, including industry analysts and the trade press have acknowledged this unique approach, and see it as a potential game changer. In a market known for its conservative and slow-moving nature, it's both remarkable and encouraging that we immediately started booking orders for this new subscription service. Obviously, it's very early in the process, and given that it's a new and very different offering we'll have to wait and see what impact it has on our overall business. In addition to flexibility and a set of all-inclusive offerings, people want higher speeds. And that's the focus of our second strategic initiative in the mobile connectivity segment. We're making excellent progress with the execution of our next-generation network that'll be utilizing high throughput satellites or HTS technology. We're settling all the elements we need to provide faster expanded service, including strategic satellite partners, improved geographic coverage, HTS hardware, airtime plans, and all our innovative services such as IP mobile cast, all into a network that we believe will lead the industry for many years to come. As we stated in the last earnings call, we've been shipping HTS-ready antennas for several months now in anticipation of turning on the HTS expansion and overlay to our mini-VSAT Broadband network. We're tracking according to plan, and expect to have this new service up and running in the second half of 2017. Early testing indicates that we're well on our way to providing two or three times the speed of our current service, which will improve the customer experience, and provide additional customer value. And at the same time, we'll be able to provide those speeds while holding subscriber prices steady. And as we've spoken of before, we expect our cost to go down, and margin improvements to accrue to KVH at the same time. More detailed and product service announcements on this will be made in upcoming quarters. So, in summary, our mobile connectivity business outlook remains solid. We believe that we continue to have a very good position to grow our customer base going forward, particularly as competitors' older L-band equipment reaches end of life, and new modern alternatives are considered. Now, switching gears to our inertial navigation business. Revenue growth was 16% in Q1 over Q1 of last year. As anticipated, it was a low TACNAV revenue quarter, but fiber optic gyro sales were up solidly year-over-year, which is nice to see. In February, we announced TACNAV Light/GPS, which is a new compass-based navigation system with an embedded GPS and moving map display, which brings an added level of flexibility and performance to military vehicle navigation. This product has already been specked in into a major vehicle program in the Middle East. We also recently announced the $3.5 million TACNAV order, and that gives us confidence that our TACNAV product line remains the leader in the military and government space. In March, we launched three new variants of our high-performance DSP-1760 fiber optic gyro. The new un-housed DSP-1760 variants offer application engineers and systems integrators the ability to more easily install one, two, or three compact FOGs into higher level systems. This flexibility is key to expand KVH's presence in high-accuracy stabilization and pointing systems which place emphasis on small size and weight while not sacrificing accuracy and performance. And we also have key strategic initiatives that we're working on in our inertial nav business. These are key to our long-term growth, and ultimately delevering long-term shareholder value. The first strategic initiative within our inertial nav business is to develop a low-cost fiber optic gyro for self driving cars. To recap the opportunity here, industry analysts project that 15% of automobiles will be autonomous by the year 2030, and the component sales driverless cars will be approximately $42 billion. We're working on a photonic chip-based optical circuit for our fiber optic gyros that would maintain the current accuracy, but would dramatically decrease the cost and improve the manufacturability. Our existing fiber optic gyros provide the accuracy and bandwidth to power the next generation of autonomous vehicles. However, they need to be less expensive and easier to manufacture in order to scale to automotive volumes. The timing of the market remains uncertain. If it happens very quickly we won't be ready with a cost-effective alternative. If it happens too slowly there won't be a big enough market to justify the investment. But nevertheless, we feel that we are uniquely positioned to redefine the market for precision gyro sensors, and establish a significant market in the upcoming autonomous world. As far as we know, there's no technology that can deliver our level of accuracy at the price points we expect to achieve. Each car company is taking a different approach, so our level of precision won't be selected for every self-driving application. Different car companies will select a variety of sensors and accuracy levels for each component. The concept of sensor fusion means that the total level of precision will be a mixture of many different sensors. However, the overall level of precision needs to be incredibly high, and we believe that this will be a large market in the future. Our second strategic initiative in the inertial nav business is to focus on the upcoming U.S. Army requirement for assured navigation, position, and timing, or APNT within our TACNAV business. The recently signed budget agreement has a significant increase in U.S. Defense spending, which should help fund these key priorities. With instability continuing in the Middle East and other global hotspots, the overall outlook for the Defense industry remains positive. The militaries of the U.S. and its allies need our technology. The world has become dependant on GPS navigation, but the vulnerability of GPS is now well known. GPS signals can be jammed, leaving soldiers in the field essentially blind to their position. Or even worse, GPS can be spoofed into providing the wrong position. Overcoming these vulnerabilities requires complementing GPS with inertial navigation system, such as KVH's TACNAV products. As you know, there are several significant programs that we've been designed into, and we've been expecting to receive production orders for them in the near future. Prime contractors have now been selected, funding is in place, and subcontractor responsibilities are being negotiated. With the design and requirements set, we're in a strong position, but as we've seen in the past, the timing remains difficult to predict with any certainty. We're not counting on all of the large TACNAV contracts to book and ship this year, and we have forecast our TACNAV revenues to be essentially flat for 2017 versus last year. This should provide some upside, and we'll continue to keep you updated in the progress of the contracting cycle. However, it's important to understand that we do have significant TACNAV contracts that need to be booked and shipped as part of our second-half guidance. As we relayed in the last call, we view 2017 as a year of strategic investment and transition. We've already made it good on our first strategic initiative, which is to bring AgilePlans subscription model to market. We look forward to implementing our next-generation network leveraging high throughput satellites, and continuing to work on brining our low-cost automotive FOG to the world of self-driving cars. Our current TACNAV business is still strong, as evidenced by the recent $3.5 million order this quarter. We have upside potential in the wings. And when combined, these strategic initiatives could significantly boost revenues for the next three to four years, with substantial growth in EBITDA. Building off progress in Q1, I feel we're in very good shape to continue to move the business forward, and deliver long-term shareholder value. Now, I'd like to turn the call over to Don to review the numbers. Don?
Don Reilly: Thank you, Martin. So as Martin said, I'd like to discuss now in more detail the financial results for the first quarter. As you know and as Martin said, we changed our segment reporting at the end of 2016, and now have two reportable operating segments based on product lines, mobile connectivity, and inertial navigation. To assist in trend and comparative analysis we filed an 8-K, on March 15th that provided supplemental unaudited consolidated financial information regarding our segments for each of the quarters in 2016. So as Martin mentioned earlier, our first quarter revenue was $40.2 million, which was slightly above the midpoint of our guidance range, was substantially in line with the first quarter of 2016. In constant currency, our revenues exceeded last year by about 2%. Our mobile connectivity revenue decreased about $1 million, but was roughly flat in constant currency. While our inertial navigation revenue increased about $800,000. Product revenue for the first quarter decreased approximately $500,000 or 3% to $14.9 million, from $15.4 million in the first quarter of 2016, due to a decrease in mobile connectivity product sales of about $900,000 or 8%, which was partially offset by an increase in inertial navigation product sales of about $300,000 or 7%. The primary driver in the mobile connectivity product sales was lower sales for our mini-VSAT products. The increase in inertial navigation product revenue was due to higher sales of our FOG products as compared with last year, particularly our IMU products. Service revenue for the first quarter increased $300,000 or 1.2% to $25.3 million, from $25 million in the first quarter of last year, due to increases in mini-VSAT Broadband Airtime service revenue of $1 million or 7%, and nonrecurring engineering revenue from the inertial navigation segment, of $600,000. These increases were partially offset by a lower content and training revenue of $1.1 million, which again was primarily the result of unfavorable exchange rates. mini-VSAT Broadband Airtime revenues were up 3% versus the fourth quarter of 2016. In the first quarter, our consolidated gross profit margin held steady, at roughly 41%, as compared with the first quarter of last year. And product margins for the first quarter were 29%, compared with 31% last year. Our overall service margin was 48% for the quarter, on par with last year. Our mini-VSAT Broadband Airtime gross margin improved by over 200 basis points to record 38% in the first quarter; this was offset again by the decline in training revenues, and that was due to weakness in the pound. From a segment perspective, our mobile connectivity gross margin held steady, at about 41.5%, while our inertial navigation gross margin decreased about two points, to 36.5%, and that was due to product mix. Operating expenses for the first quarter were just under $21 million, up 4% from just over $20 million in the first quarter of last year, as expected. The increase from prior year was primarily due to an increase in administrative personnel costs and certain investments in R&D spending relating to the growth initiatives that Martin described. For the first quarter, these change in revenue, margins, and operating expenses results in a loss from operations of $4.5 million, compared with a loss of $3.4 million recorded in the Q1 of '16. Our mobile connectivity segment generated an operating profit of $600,000, compared to $2 million last year, while our inertial navigation segment approximately broke even for the quarter, compared to a loss of $900,000 last year. Our unallocated loss from operations increased $500,000 due to higher R&D and administrative costs. Our overall effective tax rate for the first quarter was negative 3%, which reflected a tax expense on our foreign earnings. We recorded a net operating loss in the U.S., which we are not able to benefit from as we recorded a valuation allowance on the deferred tax assets generated by the loss. Similar to the fourth quarter of 2016, as we consider the valuation allowance to be a discreet non-cash item, we excluded this reserve when computing non-GAAP net income in EPS. The first quarter, our GAAP net loss was $4.9 million, as compared with a net loss of $2.8 million recorded in the same period last year. Our non-GAAP net loss was $1.4 million compared with the loss of $600,000 last year, primarily driven by the increase in our operating loss that I've just described. GAAP EPS for the first quarter was a net loss of $0.36 per share compared with a net loss of $0.18 per share the same period last year. And the non-GAAP EPS for the first quarter, which excluded discreet items and tangible amortization, stock based compensation, was a loss of $0.09 a share. Slightly better than the guidance range we provided for the quarter which was a loss $0.13 to loss of $0.10. Our adjusted EBITDA for the first quarter was a negative $800,000 compared with a positive $1 million recorded in the first quarter of last year. Close to the high end of our guidance which was a negative $700,000 to a negative $1.5 million. For a complete reconciliation of GAAP and non-GAAP measures, please refer to our earnings release that was published earlier this morning. Total backlog at the end of March was $10.4 million. Backlog for our total inertial navigation products and services at the end of March was approximately $8.4 million. Of this amount, approximately 6.5 million is scheduled to be delivered during 2017. From a cash flow perspective, we had a very good quarter which allowed us to reduce our net debt by over $3million to about $2.8 million. With that, I'll now turn to our outlook for the second quarter and full year. As we have discussed and as Martin just described, we are investing in certain key strategic initiatives this year that we believe will have meaningful applications for our company in the future. These initiatives include the rollout of new high throughput satellite service and hardware, introduction of our Agile plans, our innovative subscription model for the commercial -- which is our innovative subscription model for the commercial maritime sector, development of a low cost FOG for autonomous vehicles, and enhancements to our TACNAV technology to support the critical military demand for shared position navigation timing or APNT. We are making incremental investments in these initiatives this year, both from an expense and capital perspective so as to be in the best position we can be to benefit from their success in 2018 and beyond. Consequently as we noted in the last quarter, our guidance for 2017 anticipates only moderate growth in revenue with a fairly large increase in operating expenses and capital expenditures as we fund these programs. Our guidance for the second quarter and full year of 2017 is as follows, second quarter revenue was estimated to be in the range of $40 to $42 million and GAAP EPS in the range of negative $0.27 to negative $0.22. Non-GAAP EPS is expected to be in the range of negative $0.7 to negative $0.4, and adjusted EBITDA is estimated to be between $500,000 and $1.02 million. At the midpoint of our 2000 -- at the midpoint, our 2017 revenue guidance represents a decline of about 11% compared to Q2 2016. And that's mostly due to lower TACNAV and FOG sells which tend to be lumpy. Also, the introduction of our Agile plans as we have been discussing will have a near-term negative impact on revenue comparability as we shift from product sales to subscription revenue. And FX will likely be a headwind for the quarter. Our full-year guidance was unchanged from the guidance we provided during our 2016 fourth quarter call. But to reiterate, we expect full year revenue to be in the range of $170 million to $190 million; GAAP EPS to be a loss from $0.69 to $0.38; non-GAAP EPS to be from $0.7 to $0.27 and adjusted EBITDA to be from $0.8.5 million to $13.5 million. In our Q2 and full-year guidance, we have included only a limited number of TACNAV systems from the anticipated large orders in the pipeline. In 2017, we continue to expect our capital expenditures will be in the range of $15 million to $20 million. As previously disclosed, the initiatives outlined will require a higher level of capital investments for 2017. A significant portion of which will be direct revenue generating assets under our Agile plans along with higher operating expenses. Again, we believe 2017 is an important transition year and that the incremental cost and capital expenditures have the potential to transform the company going forward. This guidance assumes there will be no significant changes in the foreign currency exchange rates. So that concludes our prepared remarks. So, I will now turn the call back over to the operator. And we will open the line for Q&A.
Operator: Thank you. [Operator Instructions] And we'll take our first question from Ric Prentiss with Raymond James. Please go ahead, your line is open.
Ric Prentiss: Great. Thanks. Good morning, guys.
Martin Kits van Heyningen: Good morning, Ric.
Don Reilly: Good morning, Ric.
Ric Prentiss: Two questions if I could. First on the guidance; you mentioned '17 guidance only a limited number of the TACNAV in the pipeline, but earlier you had some would need to book and shipped to hit the second half guidance. Help us understand where you are in the process with those particular fairly large contracts as far as are they done being manufactured, are sitting on the floor waiting to be shipped? And what's the timeline to really -- the visibility to when it might hit? And these are customized? Just thinking through the whole process of when those might hit?
Martin Kits van Heyningen: Right. Yes, so what we are saying is that the total TACNAV guidance is flat with last year. We just bought this $3.5 million order. A big chunk of that we will ship this year, which is good. There are at least two other large orders that we expect to receive, and we've only put a portion of that into the guidance. So, we are trying to indicate that we still feel very confident in those orders. We expect to get them this year. We expect to ship a big chunk of it this year. And if that happens, we will meet or beat the guidance for inertial NAV. So the current status of those programs is that the vehicles are in production. Some of the vehicles have been delivered. We are specked in. We have purchased materials and built some of the product in anticipation of the order. We expect to get the order in the second half of this year. And our turnaround time is basically going to be governed by getting an export license which is normally takes sort of four to six weeks. So, it could happen even late in the year still be in the plan.
Ric Prentiss: Great. You're specked up for really just [indiscernible] for the order to really come in hand?
Martin Kits van Heyningen: Yes.
Don Reilly: Yes.
Martin Kits van Heyningen: And it's in the -– it's a foreign military sale and it is in their budget. So it's not a budgeting problem. So we continue to feel very good about it. And we just don't have confidence in giving specific dates.
Ric Prentiss: Particularly if the order is not firmly enhanced I think so…
Martin Kits van Heyningen: Right, yes.
Ric Prentiss: Second question is little more long-term, you mentioned about the autonomous vehicle kind of program working on bringing the cost down in the manufacture easability if that's the phrase.
Martin Kits van Heyningen: Yes.
Ric Prentiss: Help us understand what the process is to do that as far as you don't want too early because the market might not be there and cost might be too high, but you don't want to be too late in the market. And what are you doing specifically, what kind of benchmark milestone should we be looking for?
Martin Kits van Heyningen: Right. So where we are now, we received -- in Q1, we received our first set of prototypes. We tested those. We made modifications. Just in the last couple of weeks, we got a second set of prototypes. They look a lot better. We're working on a new method for attaching the fiber to the chips which would be further improvement that we didn't originally anticipate. But we have come up with something there as well. So, we're optimistic that during the course of this year, we should see, you know, as somebody [ph] talked every quarter as we progressed down the path. And we are doing it incrementally so that we should be able to have regular milestones there.
Ric Prentiss: And from the contract side of things, what are the people you are working with and hopes to getting a contract with [indiscernible] delivered and what kind of timeframe do they want to see in engineering and manufacturing kind of process?
Martin Kits van Heyningen: Well, it varies. I mean some people are moving very fast and they want it now. And if they can't have it now, they don't want it. Other people, who are the more mature big car companies, they have longer time horizons than we do. And so, we are very comfortably ahead of their timeline. So it really varies a lot. So -- and in the interim, we are continuing to provide prototypes of existing design which works great. It's just impractically expensive for volume production. So, it's sort of similar to path of the Light R [ph] guys went through. You get in early and then sometimes you get kicked out if they don't -- if they want something super cheap right now. But in the long run, I think Light R [ph] going to be in all of these vehicles.
Ric Prentiss: Right, and any update on drones; it was discussed on the Verizon Analyst Day yesterday, DISH brought it up on their call this quarter; what's the opportunity in drones? You talked about it a couple of quarter back?
Martin Kits van Heyningen: Yes, we're -- a lot of our products are being used in drones everything from surveillance drones to military drones to package delivery drones. So, there's lot of opportunity there. So we -- some of the products announcements we just did where we have the new un-housed version basically makes the product very small and very lightweight which is important for drones. But a lot of IMUs are going in drones, which is our high end inertial NAV system based on our 1750 IMU. And sales for that product we are up almost 50% this quarter. I think it was 46% year-over-year. So we are seeing good growth in that part of our business.
Ric Prentiss: Okay. Great. Thanks, guys.
Martin Kits van Heyningen: Thanks, Ric.
Operator: And we will take our next question from Rich Valera with Needham & Company. Please go ahead. Your line is open.
Rich Valera: Thank you. First just wanted to follow-up on the TACNAV questions from the previous caller; it sounds like you were describing specifically one order, Martin, when you were talking about the timing of that particular order. And if I recall, you had a couple of orders. One which I thought was in kind of $6 million - $7 million range, which you may -- I thought you actually already had pre-built in inventory. And another one that wasn't quite as far long as that. So can you just maybe drilldown a little bit on if in fact that's the case? And if the one you are referring to was the one that's already in inventory?
Martin Kits van Heyningen: Yes, you are exactly correct. So there are two orders, but they are from the same country. So, I tend to lump them together when I talk about them, but the first one is a little bit further along. And you are correct that it is also the one we've actually built and have on the shelf.
Rich Valera: Got it. So -- that when you have pretty good confidence on getting some time in second half and then it'd be the six week export license, how about the one behind that, do we think the timing of that is similar?
Martin Kits van Heyningen: We do think the timing is similar. So -- and in fact it may become co-mingled into a single contract. We are not quite sure. So -- but we think that the timing of both nav is very similar.
Rich Valera: And just one more on that, I mean it frankly seems like we have been in this position now for at least a couple years in a row and just trying to understand what might be different this time. Has anything happened at a high level in the government of this defense organization that you are ordering from that would give us some confidence that this year would be different than the prior year too?
Martin Kits van Heyningen: Well, I think that from our perspective we continue to see progress both the fact that the funding is in place that the vehicles are in production, that the contractor has been selected. We've provided updated price quotes. We are discussing installation. So, we have a lot of small indications they give us confidence. But I can fully appreciate your position which is we have been confident for while now so. And that's why we are sort of straddling the fence here with not putting a lot of this in our guidance and basically giving the guidance the same as last year in terms of revenue.
Rich Valera: Got it. Okay. Just wanted to move on then to mini-VSATs, so it's nice to see the growth of the service revenue in obviously a tough market, just wanted to understand a little bit on the hardware side. I think you mentioned you had an 8 or 900k decrease in hardware. And it sounds like that would seem to imply perhaps meaningfully lower gross unit adds, but I imagine there could be some impact from units being added on the subscription model. So just wanted to get a sense of any color on unit adds year-over-year and how much of the new business is coming on the subscription model at this point?
Martin Kits van Heyningen: Yes we did as I mentioned in my prepared remarks, we did have some immediate interest and we started presenting this subscription service to some key customers, some early customers in Q1 and we did have some early takers who also have the predecessor to that which is a they're a crew calling service where the equipment goes on board and in exchange for an air time contract, we don't count those as revenues. So the overall growth in subscription air time is sort of the net number two, so what we're seeing is as you recall from many quarters we were describing a decline in the offshore oil vessel subscribers which was kind of hurting our growth rates we would be adding subs and not really seeing an increase in revenue because we're getting suspensions or deactivations from vessels being laid out. So I think all those things are factoring in getting the air time growth up a bit.
Rich Valera: Any color at all on sort of thoughts on gross adds this year versus last year or in the quarter?
Martin Kits van Heyningen: No I mean we don't as you know we don't talk specifically about the number of subs or a subscription just for competitive reasons but where the idea behind the agile plans is to really increase the number of subscribers, so that the whole concept here. So we're not if we just trade hardware sales for a subscription revenue, it's kind of innovative but it doesn't really move the needle for us and that's not why we're doing it. So what we're really trying to do here is increase the subscriber growth in a very material way.
Rich Valera: Got it. I mean are you going to give us some sort of data points along the way this year to give us any sense of if you're being successful on that front?
Martin Kits van Heyningen: Yes I think so, I think we try not to do too much too early and keep digging up to see the growing but I think as soon as it becomes even remotely material, we'll be discussing it in detail.
Rich Valera: Got it, and then just wanted to go on to the FOG for [indiscernible] application. I might understand it correctly that you already have A version of the photonics IC in your prototype, or is that still to come?
Martin Kits van Heyningen: No we have prototypes in the lab, so we're getting samples from two different suppliers who are building the actual chip and we're testing them in our lab, they are not running in vehicles.
Rich Valera: Got it. So could you talk about what are some of the major steps I mean it seems getting a photonics IC done is a big step, do you need to you think have multiple spins of that shift to get to the open the cost target like what are some of the big milestones we should look for to get down that cost curve to where you need to be for applications.
Martin Kits van Heyningen: So at high level, the steps are designing the circuit itself and that has been completed and that appears to be working, the fab steps are critical are reducing the loss through the circuit through the material itself and maintaining the polarization, so those are sort of the two key things that we're working on now. The second spin that we just did the first one had very high loss, second one cut the loss to half, so we're pretty happy we are right on the correct path there. And then those are really the two major things that we are working on right now.
Rich Valera: Got it. And then just quickly can you say what the CapEx was for the quarter and how much if any of that was for the subscription plan.
Don Reilly: Yes and very little of it was for the subscription plan, I could tell you just one second, CapEx was about $2 million.
Rich Valera: Got it. And I'm sorry just one more and I promise out the floor, can you give us the breakdown of TACNAV's and FOG revenue for the quarter?
Don Reilly: Sure one second. Was mostly FOG…
Martin Kits van Heyningen: TACNAV was about 600 or 700K.
Don Reilly: TACNAV is about 700K. So yes TACNAV is about 700K, FOG was about 4.2 and there was OEM type business of couple of hundred thousand.
Rich Valera: Got it, thanks very much.
Operator: And our next question comes from Jim McIlree with Chardan Capital. Please go ahead. Your line is open.
James McIlree: Yes, thanks, and good morning.
Don Reilly: Hi, Jim, good morning.
James McIlree: So I think last quarter you talked about OpEx increasing $10 million for the year. I'm wondering if that's still a valid observation and then secondly in order to get there you can have to have a pretty big increase in OpEx is that going to be in conjunction with the increase in revenue that you're expecting in the second half or there is timing differences.
Don Reilly: So first we still continue to expect OpEx will increase year-over-year about $10 million. The first quarter OpEx I believe one second I mean I would say it will ramp up a little bit last half of the year, we were at let's say $16 million, about $19 million, almost $20 million, I guess it was just under $21 million in the first quarter, we expect it will increase slightly or somewhat in the last three quarters of the year. The run rate will pick up a little bit.
James McIlree: Okay. And is that independent of the revenue increases or is that?
Don Reilly: Well some of that was positively I should say some of it will increase significantly in connection with TACNAV commission will increase with TACNAV sales.
James McIlree: Okay, great and then in order to hit the high end of the revenue guidance is that mostly getting posted results on the TACNAV or is there something else that would drive the high end of guidance for the year?
Don Reilly: We have a pretty varied product line, so between the VSAT and the Air Time and training business there is also a fairly significant part of our revenue is now denominated pound so there's an exchange rate. Between the air time, the hardware the maritime you got FOG and TACNAV, so it's really a mix of all those different things. But you're right of course you know a large TACNAV orders would push us to the high end of the range but there are other parts of the business like agile plans taking off. Air time revenue continuing to grow that would pushes up as well so but it tends to be that you know some things are up and some things are down so it's kind of a blended forecast if you will.
James McIlree: Okay and might my last one is the CapEx for the year you've indicated is going to be partially for the agile plans. Have you put a number around that what, how much in CapEx you're expecting related to the agile plans?
Martin Kits van Heyningen: Not directly at say what we've talked about of the total CapEx and I think they're around 20 million.
Don Reilly: Yes, fixed into 20 million.
Martin Kits van Heyningen: So it's less than. Half of that may be over there that might be.
Don Reilly: Good could be probably more than half of that will be it will be.
Martin Kits van Heyningen: Understand correct. Sorry about that.
James McIlree: Does the HTS capacity increases that is that capitalized or is that expense.
Martin Kits van Heyningen: It's a mixture, there's a lot of development costs which were expensing as we go. Lot of engineering network support product development you know all that being expense as we go and there are some you know capital investments as well in terms of network infrastructure that are being capitalized.
James McIlree: Right so, so potentially ground terminals and you can have higher backlog costs as well that well with that thinking and look along the right line.
Martin Kits van Heyningen: Right in traffic saving equipment and a lot of networking so the complex, complex development project.
James McIlree: Right, right. Okay, very good. Thanks a lot. Appreciated.
Martin Kits van Heyningen: All right.
Operator: And our final question comes from Chris Quilty with Quilty Analytics. Please go ahead. Your line is open.
Chris Quilty: Hey Don could you give us the full four digit revenues by operating segment which I couldn't find anywhere in the press release or supplementals and it actually be helpful if it was somewhere other than the queue that would have to wait for.
Don Reilly: Well first I'll be happy to give you Chris the queue we filed tonight so won't be waiting a long time but I can tell you in the last mobile connectivity total sales are quarter $34,287,000 inertial navigation is $5,924,000.
Chris Quilty: Got it. Martin, I know you don't give specific numbers on many of the, that but was fair to assume we're still looking at the same sort of 250 per quarter net adds in Q1 
Martin Kits van Heyningen: Yes, I think you know, our -- the run rate of terminals to deployed has not changed materially for a while and that's really what we're looking to change here with this move towards connectivity as a service. So we're trying to jump start to get us out of that the range that we've been for the last couple years.
Chris Quilty: And to give I mean in a sense of what you hope the impact to be if you've been adding you know sort of a gross 1000 vessels a year. Are you hoping to get a 50% improvement or a 2X or 3X improvement over time and in just in context of I mean you know how large the market is what the penetration rate is and what competitors are doing, what sort of you know possible and what would be the stretch goal.
Martin Kits van Heyningen: I think their trajectory would be in those kind of multiples, a large increase over where we are today but thing that we're you know always have to be careful of in commercial maritime is that, it is a very conservative industry and this is a brand new concept that no one's ever done before so, balancing those two things we had incredibly positive response from everybody know you know and said This is crazy you know why doing this I want that this is exactly what we want. So then the one hand we're getting really positive feedback we make them you know immediate sales actually fell from a trade show which never happened, in this industry so that's all good and I but I think if you look out you know we're viewing this as a important strategic direction for the company and over the next you know year, two years, three years we think this will have a dramatic impact on our trajectory.
Chris Quilty: Okay and just to be clear because you know information was available in the last conference call when I looked at the pricing on these plans it's the exact same price as you had before. It's just people get the antenna for free they get the content for free and the same exact plans in terms of used, these are all usage based plans.
Martin Kits van Heyningen: Right so, you get the antenna, you get the below decks, you have the cabling, you get the insulation is included, maintenance is included, the vessel tracking is included, news link print, news link television the training the video tell training, basic training package as well as the chart update service, chart link and forecast link so it is a pretty comprehensive package of stuff that you get and it starts as low as 499 a month though. So, that's what we mean by all inclusive.
Chris Quilty: Got it. And I haven't seen any public statements by competitors but I would assume that they think you're crazy.
Martin Kits van Heyningen: I don't know, they always think we're crazy so that's the probably the reason we have more subscribers than they do but you know this is something customers want is something that's unique benefit that we can offer. It's a turnkey solution and it's happening in other industries you know here KVH used buy software and servers and all that stuff. We don't do any of that anymore, salesforce.com, we have Amazon cloud everything is you know this is the way the industry is going and you know they may think we're crazy now but they'll be copying it you know within a year or so 
Chris Quilty: Got it and separately that content training business I assume will be partially cannibalized by some of these plans maybe who knows you get actual step ups because people get the basic and they decide to add on the premium but independent that because the plans really haven't kicked in you know other than the FX impact that business really hasn't grown much in the last year or two, what do you think the rash reasons are? Why you haven't got more attraction with sort of the independent content business sales?
Martin Kits van Heyningen: Well, the - as far as cannibalization goes I mean some of that, it's through like of the traditional movie link service is being cannibalized by the MobileCast and that's been going on for three years now. The Videotel training has grown since we acquire them from sort of 10,000 to 12,000 vessels, so that's grown you have to remember that the British pound, but from a $0.70 to a $0.20 during that time period as well. But if you look at number of vessels, we have increased about 2000 vessels during that period. So I think the growth from that business will come from new products and we are working on some new products, we will be announcing here during this quarter for the training business as well.
Chris Quilty: Got you. And on the automotive side, just a question on the photonic chip design, are you designing that based upon specific packs that customers have given you that they desire or is it based upon what state-of-the-art, what you think is achievable from a technology or an accuracy perspective?
Martin Kits van Heyningen: Both, but primarily to meet customer requirements, so we know state-of-the-art is and we know in a current performance. So right now, we don't - the goal is not to reduce performance from current levels but simply to make it smaller, cheaper and faster to build.
Chris Quilty: Got you and then from your script it sounds like your, you feel like you are on track with the development, can you remind us when do you think you have either prototype test units that will get filled it or when the goals are kind of be in full production?
Martin Kits van Heyningen: Well, we haven't set a specific day. The way R&D works is you keep working it and then suddenly it works, which is different from engineering development where I can plan out to schedule and make a discrete path and so I think that if we are not in production in 2018, I would be very disappointed. If we get something that we can put into drive out this year, I will be very happy.
Chris Quilty: Got you. And Don 38%, margins on the many VSAT are those - should we project that as a stable margin on go forward basis whether onetime items where it might come back a bit?
Donald Reilly: Best I can see, no Chris no that should be a good run rate going forward.
Chris Quilty: Got you. All right, thank you gentlemen…
Martin Kits van Heyningen: Relatively launch HTS, so it might be some small incremental dealt as but it should be small, so I agree with Donald that's our target going forward.
Chris Quilty: Martin one more question. You had said that HTS will allow you to lower cost but just to be clear you are going to still be operating your existing many VSAT light band or white being network and you are going to have to layer on additional HTS capacity. So isn't it true that the costs are actually going to go up to add that service?
Martin Kits van Heyningen: Well, every time add had capacity, you total cost goes up but the net cost goes down. So what we are saying is that our cost for subscriber or per megabit per second or for a megabyte whatever metric you want to use, those costs will be going down and fairly significantly we are looking at something like a 50% reduction versus our current cost, so…
Chris Quilty: And will the - all of those future HTS plans, will they include a existing wide beam overlay as an option or as standard as a way to continue pushing IP multi-cast and a backup service?
Martin Kits van Heyningen: Well, we will be announcing the details for the service shortly though we will address that point then. I don't want to get out in front of our new product announcements but what you are asking is a very good question and we've got a very nice solution for that.
Chris Quilty: Okay.
Martin Kits van Heyningen: It's a great plan.
Chris Quilty: Very good, I'd get it if I had a boat.
Martin Kits van Heyningen: All right. Thanks, Chris.
Operator: And at this time, we have no further questions.
Martin Kits van Heyningen: Okay. And we will be available after the call if anybody has any follow-up questions. Thank you.